Operator: Good morning, and welcome to the United Rentals Investor Conference Call. Please be advised that this call is being recorded. 
 Before we begin, please note that the company's press release, comments made on today's call and responses to your questions contain forward-looking statements. The company's business and operations are subject to a variety of risks and uncertainties, many of which are beyond its control, and consequently, actual results may differ materially from those projected.  
 A summary of these uncertainties is included in the safe harbor statement contained in the company's press release. For a more complete description of these and other possible risks, please refer to the company's annual report on Form 10-K for the year ended December 31, 2023, as well as to subsequent filings with the SEC. You can access these filings on the company's website at www.unitedrentals.com.  
 Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the company's press release and today's call include references to non-GAAP terms such as free cash flow, adjusted EPS, EBITDA and adjusted EBITDA.  
 Please refer to the back of the company's recent investor presentations to see the reconciliation from each non-GAAP financial measure to the most comparable GAAP financial measure.  
 Speaking today for United Rentals is Matt Flannery, President and Chief Executive Officer; and Ted Grace, Chief Financial Officer. I will now turn the call over to Mr. Flannery. Mr. Flannery, you may begin. 
Matthew Flannery: Thank you, operator, and good morning, everyone. Thanks for joining our call. As you saw yesterday afternoon, 2024 is off to a strong start and playing out as expected, and I'm pleased with our results across growth, margins and fleet productivity, all executed through the lens of putting the customer-first and with an unwavering focus on safety. 
 Coming into the year, we knew the key to success would be doubling down on being the best partner for our customers, and that's just what we're doing. And we're meeting their needs and finding opportunities to deepen our relationships with them. For example, we broadened our product offering to include matting solutions and we continue to invest in technology to improve the customer experience. Additionally, we're executing on our plan to open more cold starts.  
 And just as critically, we're doing all of this while maintaining our focus on operational efficiency. The team continues to demonstrate its commitment to our strategy, and we remain confident this will be another year of profitable growth. Today, I'll start with a recap of our first quarter results and then discuss our recent acquisition of Yak, followed by what's driving our optimism for the year. And finally, I'll give a very recent example of our 1 UR culture at work, which, in my mind, is a true differentiator.  
 So let's start with some of the highlights from the first quarter. Our total revenue grew by 6% year-over-year to $3.5 billion, a first quarter record. And within this, rental revenue grew by 7%. Fleet productivity increased by a healthy 4% and adjusted EBITDA increased to a first quarter record of $1.6 billion, translating to a margin of 45.5%. And finally, adjusted EPS grew by 15% and $9.15, another first quarter record.  
 Now let's turn to customer activity. We continue to see growth across both our GenRen and Specialty businesses. And within Specialty, we delivered double-digit growth across all lines of business. By vertical, we saw growth across both construction led by non-res and our industrial end markets with particular strength in manufacturing, utilities and downstream. And we continue to see numerous new projects across many of the same areas we've discussed the last several quarters, including power generation, data centers, automotive and infrastructure.  
 Additionally, the used market remains strong, allowing us to sell a first quarter record amount of OEC. In turn, we spent $595 million in the quarter on rental CapEx, and this is consistent with our expectation. As a result, free cash flow was $860 million in the quarter. Our ability to generate strong free cash flow throughout a cycle, while simultaneously funding growth is a critical differentiator.  
 The combination of our profitability and capital efficiency, coupled with the flexibility we've engineered into our operations, enables us to consistently generate strong free cash flow and create long-term value.  
 Now turning to capital allocation. Our #1 goal is supporting growth while also maintaining a strong balance sheet. And after funding organic growth, including 15 cold starts, and completing the Yak acquisition, we also returned $485 million to shareholders in the quarter via share buybacks and our dividend, all while remaining comfortably within our targeted leverage range.  
 Speaking of Yak, I want to share some initial thoughts now that we started the integration process. This acquisition is a textbook example of our M&A strategy at work. Through Yak, we've added more capabilities for our one-stop shop platform, enabling us to be even more responsive to our customers, while also generating attractive returns for our shareholders. And for those of you not familiar, Yak provides temporary access roadways and surface protection to any site with uneven or soft surfaces, where you need to safely move and operate heavy equipment.  
 And similar to our purchase of General Finance in 2021, Yak is a leader in its market. Yak still has plenty of room for growth as we bring this capability into our network. Since we've closed the deal,  we spend a lot of time with their team, and we're even more excited with the potential here.  
 Turning to our updated outlook. As we look to the rest of 2024, we remain optimistic about the opportunities for growth. And thus far, the year is playing out as expected. Our updated guidance reflects the addition of Yak with our underlying expectations unchanged. Customer confidence remains strong while our team in the field is focused on the opportunities ahead. And while these indicators are tangible examples of what gives us confidence in our ability to deliver on our guidance, it's a team's daily actions, which further bolster our belief that we will continue to deliver strong shareholder value while supporting our customers in our normal operations and times of emergency.  
 A good example of this was our response to the devastating news of the Key Bridge collapse in Baltimore back on March 26. In true United Rentals fashion, we were all hands on deck, helping with the immediate urging -- emergency response and ongoing work. This support included a broad range of assets, including mobile storage, power, light towers, portable sanitation and fencing, as well as both our aerial and dirt equipment. And what's more, through the acquisition of Yak, which had just been completed, we're also able to provide the mats needed at the site for the operations. This is a perfect example of our differentiated business model, where we provide unmatched support through our one-stop shop offering to our customers and ensure they can safely and efficiently focus on their own operations.  
 It's also a true testament to our culture and the people that work for United Rentals. So in summary, we're excited by both the immediate opportunities, particularly on large projects, and the longer-term outlook we see. We've built a resilient company with a well-proven strategy that positions us to continue to drive profitable growth, strong free cash flow and compelling shareholder value.  
 And with that, I'll hand the call over to Ted, and then we'll take your questions. Ted, over to you. 
William Grace: Thanks, Matt, and good morning, everyone. As Matt highlighted, the year is off to a strong start as healthy demand and strong execution supported first quarter records across revenue, EBITDA and EPS. Consistent with our strategy, we remain focused on allocating capital both rental CapEx and M&A investment to drive profitable growth while also returning excess cash to our shareholders. Combined, this supports the solid earnings growth, free cash flow and returns, you see embedded in our updated 2024 guidance.  
 So with that, let's jump into the numbers. First quarter rental revenue was a record $2.93 billion,  that's a year-on-year increase of $189 million or 6.9%, supported by both the market tailwinds we've been discussing as well as our strong position in large projects and key verticals. Within rental revenue, OER increased by $138 million, or 6.1%. Within this, growth in our average fleet size contributed 3.6%, while fleet productivity added 4% and partially offset by assumed fleet inflation of 1.5%. Also within rental, ancillary and re-rent revenues were higher by $51 million or approximately 10.8%. 
 Turning to used results. Supported by the strong demand Matt highlighted, our first quarter results were consistent with expectations. Used revenue came in at $383 million at a healthy adjusted margin of 53.3%. As we've talked about for the past few quarters, our used margins reflect the ongoing normalization of the used market following the extraordinary conditions created by supply chain issues that peaked in 2022.  
 From an OEC recovery perspective, which we view as a key indicator of the health of the used market, our proceeds equated to better than $0.59 on the dollar versus $0.50 to $0.55 prior to COVID. So another quarter of very solid results there. 
 Moving to EBITDA, adjusted EBITDA was a first quarter record at $1.59 billion, reflecting an increase of $84 million or 5.6%. The year-on-year dollar change includes a $108 million increase from rental. Outside of rental, used sales and SG&A were headwinds to adjusted EBITDA of about $27 million and $4 million, respectively, while other non-rental lines of businesses were a $7 million tailwind. Notably, SG&A as a percent of sales declined 40 basis points, setting a new first quarter best at 11.2%. 
 Looking at first quarter profitability. Our reported adjusted EBITDA margin was a healthy 45.5%. Due to these dynamics, I just discussed, consolidated margins compressed 30 basis points year-on-year, implying flow-through of 42%, excluding use, however, our core EBITDA margins increased 70 basis points, equating the flow-through of 54% in the quarter. And finally, our adjusted earnings per share increased 15% to a first quarter record of $9.15.  
 Shifting to CapEx. Gross rental CapEx was $595 million, which was in line with both our expectations and historical seasonality from a percentage of full year perspective. 
 Turning to return on invested capital and free cash flow, ROIC increased 50 basis points year-on-year to 13.6%, which remains well above our weighted average cost of capital while free cash flow was off to a strong start at $869 million.  
 Moving to the balance sheet, our net leverage ratio at the end of the quarter was a very solid 1.7x while our total liquidity was just under $3.6 billion. And as a reminder,  we continue to have no long-term note maturities until 2027 and a very manageable distribution maturities thereafter through 2034.  
 Within the quarter, I'd highlight that we issued $1.1 billion of 10-year senior unsecured notes to fund the Yak acquisition, and we're very pleased with the market reception. The notes priced at a coupon of [6.18%] representing both the lowest coupon and the tightest credit spread to treasuries in the high-yield market for all 10-year issuers since August of 2022. 
 Notably, and probably most importantly, the transaction also marked the lowest spread to treasuries that United Rentals has ever achieved for a bond of any tenor. While this was driven by a number of factors, we view it as further evidence that credit markets continue to reward the company for its track record of impressive growth, strong execution, smart capital allocation and prudent balance sheet management. 
 Looking forward, you saw last night that we raised our full year guidance to include the acquisition of Yak, which is expected to contribute approximately $300 million in total revenue and $140 million of adjusted EBITDA in 2024. In terms of the specifics on the updated outlook, we've raised our guidance for total revenue to a range of $14.95 billion to $15.45 billion, implying full year growth of just over 6% at midpoint. 
 Within total revenue, I'll note that our used sales guidance is unchanged at roughly $1.5 billion. We raised our adjusted EBITDA range by $140 million to $7.04 billion to $7.29 billion. On the fleet side, we've raised both our gross and net CapEx guidance by $100 million to $3.5 billion to $3.8 billion and $2 billion to $2.3 billion, respectively. 
 And finally, we've raised our free cash flow guidance by $50 million to a range of $2.05 billion to $2.25 billion after funding growth. This is enabling us to return over $1.9 billion to shareholders this year, which translates to about $29 per share or a current return of capital yield of roughly 4.5%. 
 So with that, let me turn the call over to the operator for Q&A. Operator, please open the line. 
Operator: [Operator Instructions] Our first question will come from Steven Fisher with UBS. 
Steven Fisher: I just wanted to start off on CapEx. I know you said it was in line with your expectations, but it seemed to be maybe at the low end of your target range for the quarter. Can you talk about some of the factors keeping it on the low end there? Was it sort of weather or project timing or any other factors? And I guess related to that, have you made any changes in your thinking about the level of growth CapEx embedded in your plan for the year, either kind of mix of GenRent or specialty rent any changes around that growth CapEx? 
Matthew Flannery: Sure, Steve. So actually, no, we don't feel that way about the first quarter CapEx, certainly wasn't any kind of designed outcome to temper the CapEx, for lack for a better word. It was about from our original guidance. So let's not include the 100 that we just upped for the Yak deal. It was about 17% of our -- at the midpoint of our guidance. 
 So it's about -- we always say we're going to get back to normal cadence, probably about anywhere from 15% to 20% in Q1. You can expect us to do somewhere between 35% to 40% in Q2, somewhere in the 30s in Q3 and then whatever balance in Q4. I think what it really points to, as opposed in the last couple of years, with the supply chain about mostly repaired, we no longer need to front-load Q1 and we could bring in the capital back to a, let's call it, a pre-COVID cadence, and that's how we view that. 
 As far as for the rest of the year, we reaffirmed our guidance and actually upped it, considering the opportunity to invest more and grow Yak. So we don't feel at all like we're going to move down our CapEx. It's pretty much reaffirmed the guidance across the board just with the addition of the Yak revenue and the Yak CapEx needs. 
Steven Fisher: Okay. Terrific. And then maybe just one on a vertical. I know there's been a lot of focus this year about power generation, and you have included that in your positive commentary for a number of quarters now. I guess, I'm just curious, given that the theme around power generation has intensified. I'm curious if you could give us a sense if you have any direct color on the types of projects that you're seeing in this -- in your pipeline of power generation in 2024, relative to what you've been seeing in, say, 2023? 
Matthew Flannery: Well, so first off, this is something that we've been building that's focused on this vertical as far back as 2016. So this is anything new for us. And it's now over 10% of our business. So this is a big segment and a big focus for us. But you can imagine, whether it's traditional power, right, T&D work generating, whether it's alternative power, right? 
 We've been playing in this space for a while. And then when you tap on top of that, the need for all the data centers and all the opportunities here for growth, even before we start really accelerating the transmission work that's needed and building out the grid for all the needs as we continue to electrify specifically in the EV space. We think this has got growth well beyond 2024, and this is one of the tailwinds that we're focused on. Ted, I don't know if you have anything to add. 
William Grace: No, I think you've captured it all. 
Operator: Our next question will come from Jerry Revich with Goldman Sachs. 
Clay Williams: This is Clay on for Jerry. First question, can you update us on your M&A pipeline from here? What's the range of capital deployment towards M&A that you expect to deliver over the next 12, 18 months? 
Matthew Flannery: Sure, Clay. So we don't actually set targets nor do we even set plans or budgets for M&A, right? That's just a belief of ours that I think that could force people to feel the need to do M&A, and we're actually very opportunistic here. But to be clear, we work the pipeline regularly. And we have a robust pipeline. We really have a lean towards things that you just saw us execute on, like, Yak, where we can add new products that we think we could be a better owner of by significantly growing them when we introduce them into our network. 
 So that would be the real gems in the pipeline. But we don't really have anything imminent that we would forecast other than we continue to work the pipeline. And when we find the right partner, that meets all of our 3 strategic criteria as well as getting to the financial output, we will act. So stay tuned. We're working on the pipeline, but we don't have a plan or a budgeted number that we feel we need to meet. 
Clay Williams: And as a follow-up, can you talk about the opportunities you see for Yak access given the shorter useful life and higher depreciation load of the product versus the base business, we were curious what the path is to get the business to URI levels of returns. 
Matthew Flannery: Sure. So as you can imagine, before we pay the deal, we did a lot of modeling and sensitivity modeling, and we feel really good about the opportunity. And one of the opportunities might actually be lengthening the life of the asset. It doesn't really take a lot for it to have a meaningful impact, but that's not even required for us to comfortably clear our hurdle rates on this deal. So we really like the returns on this business. .
 We think we can double the size of this business in the next 5 years. So this is very much like what we did in mobile storage with the general finance deal. When we took a leader in that space and integrated it into our network, we were able to grow it significantly. And we see this as very similar. And the margins are strong. The team is really strong. We've got a lot of experience on that team. So we feel good about it, including the returns. 
William Grace: Yes, the thing I might add there, Clay, is if you look at the deal holistically, we think it's very attractive returns on a cash-on-cash basis, as Matt mentioned, well above our hurdle rate and cost of capital. That would look similar to what we actually achieved with the general finance deal. If you actually zero into the unit economics of a mat I think some of the observations you made are right. But even those cash-on-cash returns at the unit that level, are very attractive. We'd be looking comfortably in the upper teens. 
 And we think there could be opportunities to either extend the life of the mat or do some other things that could improve them beyond that. So when we compare that to the rest of the fleet, it's been very nice from a portfolio perspective. 
Operator: Our next question will come from Stanley Elliott with Stifel. 
Stanley Elliott: Can you talk a little bit about the category class. You've done a nice job of expanding it over the years, moved kind of the one-stop shop. How much larger is this an opportunity for you all and maybe what would be the limiting factor, I don't know if it's real estate or workforce or anything like that? 
Matthew Flannery: So if you're speaking about new categories, Stanley? 
William Grace: Was that in context of Yak, Stanley, just to be sure we understand the question? 
Stanley Elliott: Yes, more in context of Yak, but it would seem like that just the number of category class you've had over the past several years, be it mobile solutions or anything along those lines that, that just continues to be kind of a, I guess, a big white space for you? 
Matthew Flannery: Yes, exactly. So we view anything that's temporary on a project or on a plant as a potential right of way for us, right? So anything that doesn't stay with the fixed plant is, by definition, an opportunity for us to serve the customer. And we've continued to expand upon that. 
 So we don't talk about publicly what those other products could be because for obvious competitive reasons, and we don't want to create expectations without having the right partner, but that's how we see it. Even expanding our product line in existing business, whether it be more power in HVAC or chillers or spot coolers in that business or some of the flooring additions that we've been to our GenRent business or the pickup trucks that we put into our business, we also expand the offering to whatever the customer needs. And that's really our focus on this towards this one-stop shop value prop that we offer is continuing to expand those problems that we can solve for our customers. 
William Grace: I guess things I might add that we've shared, Stanley. I mean, mobile storage, we talked about a goal of doubling that business in 5 years. We're well on our way. That's obviously a huge market. So even as assuming we're able to do that, there's still plenty of white space beyond that to grow the business, penetrate existing customers. And obviously, we've talked about the opportunity to expand the footprint of that business. 
 Mats would be similar. I think we set a goal for doubling that business. They overlapped in about half the country for us. So there's a lot of white space there. And again, a very strong market from a growth perspective, given the opportunity in the grid. ROS is another example of one that we've built aggressively organically.  We've quickly gone from not that market to certainly one of the biggest players in the country, and there's a tremendous amount of runway ahead of us there. So in each of these verticals, I think we continue to think there's a lot of opportunity to leverage our model and really continue to fund those businesses to fuel growth. 
Stanley Elliott: Perfect. And then I guess just a follow-up or second question, rather. Could you talk about kind of anything you saw from a regional basis. And I'm curious, I know you don't like to talk about weather, Matt, but did that have any impact on kind of the progression as the quarter went through? 
Matthew Flannery: Yes. Knock on wood, we haven't had to talk about weather in a while. I think maybe even since Harvey -- Hurricane Harvey. But we -- certainly, you all follow. There are some markets that were more impacted than others, but it's not something that we call out. This is the great part of the diversification of our business, both by product and geography. There's really nothing that we would call out as an impact, and that's why we're very pleased that we're able to reaffirm our guidance just with the addition of Yak over and above. So the year played out as expected, and I wouldn't call out any weather constraints, Stanley. 
Stanley Elliott: Perfect. Congratulations with the great start. 
Matthew Flannery: Thanks. 
Operator: [Operator Instructions] Our next question comes from Ken Newman with KeyBanc Capital Markets. 
Kenneth Newman: First question -- my first question is just on the fleet productivity this quarter. It was pretty impressive and strong just given the tougher pro forma comp from last year. I know that you guys don't quantify the individual movers in that metric anymore, but I was just curious if there's any way to help us understand if there was a big move in one of those drivers, whether it's mix or rates or utilization, just given the tough comp. 
Matthew Flannery: Sure. So it played out as expected for us, quite frankly. When we came out in January, I went out a little further than I usually would because we don't like to forecast these individual metrics and certainly not the overall component. But we said we'd have positive fleet productivity each quarter in the year. And we still expect that to play out that way.
 When I think about, I'll tell you, I won't tell you quantitatively to your point, but qualitatively, we talked about if we could replicate the time utilization that we had in 2023 and do that in 2024, we feel good about that. So I would call time, as expected, neutral. And then we still believe that it's a constructive rate environment, and we're pleased to see that it played out that way. And that the discipline in the industry, I think you'll hear that from the rest of our public companies in the space as well, that rate will help overcome any inflationary issues that we have. 
 And then specifically in this quarter, we had a small little improvement in -- from the Yak acquisition, and we'll see that as we go forward. That will play out a little bit more as we go forward in the rest of the year, and we'll communicate that each quarter. 
Kenneth Newman: Got it. That's very helpful. My second question here is just on the GenRent equipment rental side. It does seem like you saw a decent step down or moderation in the first quarter just on the equipment rental side, was there anything specific there that drove that sequential step down? Or is this more just a function of the fleet kind of returning back to more normalized cadence and seasonality? 
Matthew Flannery: Yes. I mean we did expect slower growth. As you could imagine, the GenRent business versus the specialty business, the growth -- the headroom for specialty was much greater. And probably more importantly, the specialty business has a great opportunity with large customers and large projects to cross-sell into some of those that weren't using these products. So we called out specifically the double-digit growth in every one of our specialty segment product lines, which was great. 
 And in the GenRent side, I would just say, as expected, that we talked about in January, just more disbursement than we've had historically. The good news is, we put the fleet in the places that we needed it, where the opportunity was the best and a lot of those are driven by some large projects as well. And we're going to make sure that we win with those customers. Those are choices that we make, and we got the fleet in the right places, and that's why we're able to drive good fleet productivity. 
Operator: And with no further questions in queue, I would like to turn the call back to Matt Flannery for any additional or closing remarks. 
Matthew Flannery: Thank you, operator. And to everyone on the call, we appreciate it. I'm glad you could join us today. And just to remind everybody, our Q1 investor deck is on our site with its latest updates. And as always, Elizabeth is available to answer your questions. So I look forward to talking to you all in July. Until then, please stay safe. Operator, you can now end the call. 
Operator: Thank you. This does conclude the United Rentals First Quarter 2024 Earnings Call. You may disconnect your line at this time, and have a wonderful day.